Operator: Greetings, and welcome to Quanta Services' Fourth Quarter and Full Year 2019 Earnings Conference Call. [Operator Instructions] Please note this conference is being recorded. I’d now like to turn the conference over to your host Kip Rupp, Vice President of Investor Relations. Thank you. You may begin.
Kip Rupp: Great. Thank you, and welcome everyone to the Quanta Services fourth quarter and full year 2019 earnings conference call. This morning, we issued a press release announcing our fourth quarter and full year results, which can be found in the Investor Relations section of our website at quantaservices.com, along with a summary of our 2020 outlook and commentary that we will discuss this morning. Additionally, we will use a slide presentation this morning to accompany our prepared remarks, which is viewable through the call’s webcast and is also available on the Investor Relations section of Quanta Services website. Please remember that information reported on this call speaks only as of today, February 27, 2020 and therefore, you're advised that any time-sensitive information may no longer be accurate as of any replay of this call. This call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These include all statements reflecting Quanta's expectations, intentions, assumptions, or beliefs about future events or performance that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties, and assumptions that are difficult to predict or beyond Quanta's control and actual results may differ materially from those expressed or implied. For additional information concerning some of these risks, uncertainties, and assumptions, please refer to the cautionary language included in today's press release along with the company's period reports and other documents filed with the Securities and Exchange Commission, which are available on Quanta's or the SEC's website. You should not place undue reliance on forward-looking statements and Quanta does not undertake any obligation to update such statements and disclaims any written or oral statements made by any third-party regarding the subject matter of this call. Please also note that we will present certain historical and forecasted non-GAAP financial measures in today's call, including adjusted diluted EPS, backlog, EBITDA, and free cash flow. Reconciliations of these measures to their most directly comparable GAAP financial measures are included in our earnings release. Lastly, if you would like to be notified when Quanta publishes news releases and other information, please sign up for e-mail alerts through the Investor Relations section of quantaservices.com. We also encourage investors and others interested in our company to follow Quanta IR and Quanta Services on the social media channels listed on our website. With that, I'd like to now turn the call over to Mr. Duke Austin, Quanta's President and CEO. Duke?
Earl Austin: Thanks Kip. Good morning, everyone, and welcome to the Quanta Services fourth quarter and full year 2019 earnings conference call. On the call today, I will provide operational and strategic commentary before turning it over to Derrick Jensen, Quanta's Chief Financial Officer, who will provide a review of the fourth quarter and full year results and 2020 guidance. Following Derrick's comments, we will welcome your questions. 2019 was solid and another record year, built off a platform that has resulted in four consecutive years of growth and record results across most of our key metrics. In 2019, we achieved record revenues, operating income, adjusted EBITDA and adjusted earnings per share. Off note, we had record cash flow generation in the fourth quarter, which resulted in 2019 free cash flow exceeding our expectations. We also ended the year with record total and 12 month backlog and more than 40,000 employees. Importantly, we believe our strategic position in the marketplace remains strong, and we are well positioned for continued profitable growth over the next several years. Our improving results over the last several years and our expectations for continued profitable growth going forward are driven by the successful execution of our five key objectives. These objectives are first, focus and grow our base business. Second, improve margins, third, create growth platforms through service line expansions in the utility, industrial and communications industries, and adjacent industries where craft skilled labor is critical to providing cost cutting solutions. Fourth, be the industry leader in safety and training by investing in craft skilled labor. And finally, deploy capital in a disciplined and value creating manner. We have grown revenues at a double digit CAGR over the last four years. More importantly, we have increased profits faster than revenues during that time and have improved our return on invested capital. We accomplished a great deal in 2019 through successful implementation of these key objectives, and our past success positions us well for the future. However, we remain focused on getting better to ensure that Quanta continues to evolve to effectively collaborate with our customers and business partners in helping them achieve their goals and to capitalize on opportunities ahead of us. Here are some of the accomplishments in 2019. We achieved record revenues through the continued focus of positioning our base business for long term and consistent profitable growth. Base business revenue increased approximately 19% in 2019, and accounted for approximately 87% of total revenue. We accomplished this through new program agreements, increased MSA share, and service line expansions, and grew our small and medium sized project work with many existing customers. We continue to implement our margin enhancement initiatives for the pipeline industrial segment, which resulted in a full year operating margin of 6.7%. This is the highest annual margin for the segment in five years. More importantly, we see opportunity for additional margin expansion in 2020 for both the electric power and pipeline and industrial segment. We meaningfully expanded and enhanced our gas utility service operations through the organic growth and the acquisition of The Hallen Construction Company, which gives Quanta a leading presence in the Northeast United States. We grew our communication services revenues by more than 40% and ended the year with a total backlog of approximately $770 million. Our U.S. backlog grew 25% from the end of 2018 and accounts for nearly all of the communications backload. Importantly, we expect our communications operations to grow both top and bottom line result in 2020. We continue to lead the industry in safety, which we believe starts with train. We continue to incrementally invest in our training efforts through our Northwest Lineman College. We further advanced our new communications infrastructure and natural gas distribution services curriculum during the year, which is allowing us to get employees out to the field faster, and for them to be more productive when they get there. Additionally, we expanded the training programs offered at our Quanta advanced training centre in La Grange, Texas. In 2019, Quanta staff trained nearly 10,000 employees through various programs and began training initiatives with our customers. We believe our industry leading training and recruiting initiatives will improve productivity in the field and ensure that we have the very best craft skill labor. This enhances our ability to collaborate with our customers and labor affiliations on future workforce needs, and further differentiates us in the marketplace as a strategic solutions provider. We invested approximately $400 million in the strategic acquisition of seven companies that enhance our self-perform capabilities in certain areas of the United States and Canada. We believe our self-perform capabilities, which account for approximately 85% of our revenues, de-risk our work portfolio through improved execution, and results in more consistent earnings. Rather, our self-perform capabilities are key to providing cost certainty to our customers. And finally, we demonstrated our commitment to stockholder value and our confidence in Quanta's utility platform by paying Quanta's first quarterly dividend in January 2019, then subsequently announcing a 25% increase in December. We also acquired approximately $20 million of our common stock in 2019 leaving us with approximately $287 million of stock repurchase authorization remaining. These are just some of our accomplishments in 2019 that continued to move us down the path of achieving our longer term goals. While we are proud of these achievements, we remain focused on getting better. They continue to believe there is opportunity to create significant stockholder value as we execute on our strategic initiatives, which include continued margin expansion, sustainable adjusted EBITDA growth, solid cash flow generation, and improved return on invested capital. The electric utility industry continues to evolve and many of our long standing customers have embraced their sustainable and advanced integrated utility model with a heavy focus on electric transmission and distribution investment, increasing focus on renewables and gas distribution, as well as increasing ownership of pipeline infrastructure. Looking at Quanta's top utility customers from 2000 to 2018 and their investments during this evolution, which we believe is representative of the broader utility industry, utility significantly increased their CapEx and OpEx as they transitioned their businesses to an advanced integrated utility model. During that time, Quanta strategically adapted its business to meet the evolving needs of our customers, which has allowed us to collaborate with them and create unique solutions throughout the value chain that benefits the end users. Quanta's end markets remain healthy, and our customers are actively deploying capital into their systems to modernize, harden, expand and adapt to current and future needs as evidenced by double-digit base business revenue growth and both of our segments in 2019. Rather, according to the Edison Electric Institute, 2019 was the eighth consecutive year of record capital investment by the electric utility industry, the most capital intensive industry in America. Increasing system investments coupled with increasing internal utility workforce attrition expands Quanta's estimated core adjustable market. Quanta generated $7.7 billion in revenue from electric and gas utility customers in 2019. And we believe there's ample opportunity for growth going forward. To that end, longtime Quanta utility customers across our service offerings are investing 10s of billions of dollars to modernize and create a sustainable system for end users over the medium term. Quanta is having collaborative conversations with many of our customers about multi-year multi-billion dollar programs extending as far as 10 years, and how Quanta can provide solutions throughout the utility value chain to meet their strategic infrastructure investment goals. Quanta is embedded in the fabric of the North American utility industry and an important resource supporting our customers efforts to execute their multi-year capital programs that are designed to benefit the ratepayer. It is important to note that approximately 65% of Quanta's revenue is directly tied to regulated electric and gas utility customers, which is core to our business. Throughout our service territories, we are actively pursuing billions of dollars of larger electric transmission projects, which are experiencing increased activity. We are confident we are well positioned for many of these projects. However, it is the smaller projects, maintenance services, and everyday work that is driving much of our growth and backlog. Looking forward, we expect base business activity to remain robust, which is currently - which currently accounts for approximately 90% of our revenue guidance in 2020 demonstrating the strength of our base business foundation. Within our electric segment, our communications operations generated a strong double digit revenue growth in 2019 over 2018. Our U.S. operations accounted for the vast majority of those revenues. By 2019, we expect strong double-digit revenue growth from our communications operations in 2020 with upper single digit operating income margin on a full year basis. We continue to believe we can achieve annual revenues of $1 billion or more in the medium term, and believe we can operate our communications business with an upper single-digit to double-digit margin profile as we continue to scale our operations. We are gaining visibility into the to the 5G deployment opportunity and believe it is large and the build-out will take many years due to the density requirements of small cells and the massive amounts of fiber required. We believe Quanta is uniquely positioned to provide solutions that bridge the gap between wireless carriers and utility companies as 5G infrastructure is increasingly deployed on the electric distribution system, which requires significant electric line and resources and project management capabilities. Our pipeline and industrial revenue grew in 2019 despite meaningful less contribution from larger pipeline projects. Base business activity grew double-digits which speaks to the success of our strategic focus on the strength of our base business within a segment, including gas utility services, pipeline integrity and industrial services operation. Notably, the benefit of our segment margin improvement initiatives became apparent in our results in the second half of 2019. We believe there's opportunity to improve segment margins in 2020, with a goal of consistently delivering upper single digit operating income margins annually in the future. As I mentioned earlier, we have meaningfully increased our gas utility services operations through organic growth and the recent acquisition of Hallen. Gas utilities are in the early stages of multi decade modernization programs to replace ageing gas distribution infrastructure, to meet regulatory requirements aimed at improving reliability and safety. These modernization initiatives provide a visible recurring and growing long term opportunity for our gas utility services that we believe is favorable for our base business. In our earnings release this morning, we provided 2020 guidance, which we believe demonstrates the strength and sustainability of our base business and long term strategy, favorable in market trends, our ability to safely execute our strong competitive position in the marketplace. Our expectations call for continued growth in revenues, adjusted EBITDA and earnings per share and improved profitability. Additionally, we see opportunity to achieve new record levels of backlog in 2020. Our guidance includes the results of Latin America operations. We have completed a strategic review of efforts there. And due to the circumstances we experienced last year in Peru, and political volatility in other areas of the region, we have concluded to pursue an early exit of Latin America operations. We are considering various avenues to that end, and believe significant portion of this process could be achieved this year. As a result, we have highlighted the anticipated impact on our 2020 results. This is the right course of action, which we believe will improve Quanta's profitability and optimize our operational portfolio. As we typically do at the beginning of the year, we have taken a prudent approach to the revenue and margin ranges in our guidance to reflect what we believe are possible outcomes based on the risk inherent in our business. As the year progresses, we gain better visibility into our performance, project timing and industry dynamics, we anticipate being able to refine our expectations. Derrick will provide additional detail about our guidance in his commentary. In summary, Quanta end the year on a high note and continues to perform well operationally against our strategic plan, which yielded another record year results in 2019. Our end markets and multi-year visibility are strong, and we continue to see opportunity for service line offerings, expansion, growth, improved profitability, solid cash flow generation and record backlog as we successfully execute on our strategic initiatives. As I think about Quanta, the platform that has been built over more than 20 years, and where we're heading over the medium and longer term, we believe we have a long runway of generating repeatable and sustainable earnings ahead of us. Considering our organic growth opportunities and the levers available to us to allocate future cash flow generation, and to value creating opportunities such as stock repurchases, acquisition and strategic investments and dividends, we believe Quanta has the opportunity to generate meaningful stockholder value going forward. We are focused on operating the business for the long term, and expect to continue to distinguish ourselves through safe execution and best-in-class build leadership. We will pursue opportunities to enhance Quanta's base business and leadership position in the industry and provide innovative solutions to our customers. We believe Quanta's diversity, unique operating model and entrepreneurial mindset form the foundation that will allow us to continue to generate long term value for all of our stakeholders. With that, I will now turn the call over to Derrick Jensen, our CFO for his review of our fourth quarter and full year results in 2020 guidance. Derrick?
Derrick Jensen: Thanks Duke, and good morning, everyone. Today we announced fourth quarter 2019 revenues of $3.1 billion. Net income attributable to common stock was $118.1 million or $0.80 per diluted share and adjusted diluted earnings per share, a non-GAAP measure was $0.93. Overall, the fourth quarter closed out another exceptional year of operational performance for Quanta, a year in which we delivered record results across multiple metric, but most notably a net income, earnings per share, adjusted earnings per share, and adjusted EBITDA. I'll cover some items impacting our fourth quarter results before discussing our broader 2019 annual performance and our expectations for 2020. Electric Power revenues in the fourth quarter were a record $1.85 billion driven by continued momentum across our base business activities, along with growth from our communications operation, which are included within the electric segment. Electric margins were 8.7% and as expected or lower than target levels during the quarter due to permitting delays on certain larger Canadian transmission project, negatively impacting cost absorption. However, our communications operations inclusive of Latin America delivered breakeven margins for the quarter compared to upper single digit expectations. These operations were negatively impacted by two projects, one that experienced cost increases due to schedule uncertainty, and another that encountered funding challenges, which was reserved for in the quarter due to potential collectability concerns. Excluding our Latin America operations, communications margins were in the lower single digit range, and electric only margins were 9.6%. As Duke commented, we have concluded to pursue the orderly exit of our Latin America operations. As such, as presented in today's release, we have modified our segment reporting disclosures to separately identify Latin America result. While these operations do not qualify for discontinued operations treatment, we believe that providing visibility into their results will be beneficial and understanding the performance of our ongoing operation. On a go forward basis, our operational commentary will focus primarily on electric power and communications operations excluding Latin America. We will otherwise continue to report our communications operating results within electric power, due to the potential for the commingling of labor resources on future 5G deployment, as any utilization of existing electric infrastructure for 5G will require qualified linemen for installation, blurring the type of work classifications between electric power and communication. Our pipeline and industrial segment revenues were lower versus 4Q '18 due to a significant decline in revenues from larger pipeline project. Partially offsetting this decline were increased levels of based business activities, particularly gas distribution and industrial services, and approximately $125 million from acquire company. Operating margins for the pipeline and industrial segment was 7%. The solid margins for the quarter are led by continued execution across our gas distribution and industrial operation. In addition, we favorably settled certain outstanding claims, and while the favorable settlements positively impacted the fourth quarter. They represent the culmination of negotiations on projects with significant construction activities in 2019 and appropriately contribute to full year 2019 operating result. These favorable settlements help to offset negative impact attributable to wet weather challenges encountered on several large Canadian pipeline projects due to historic rainfall amount, as well as $10.2 million of impairment charges associated with the winding down and exit of certain oil amidst operations and asset. Regarding corporate and unallocated costs, amortization expense, deal cost and changes in the fair value of contingent consideration liability increase due to acquisition related activities and are responsible for the majority of the movement. Also of note, we sold our interest in the limited partnership related to the Fort McMurray transmission project in Alberta, Canada in the fourth quarter. As a result, we recorded a gain of $13 million and other income. The sale also allowed for the recognition of certain tax benefits, therefore delivering a total $20.7 million net income benefit or $0.14 per diluted share. We believe the success of the project and our partnership with ATCO is a true differentiator for Quanta and serves as a blueprint for future opportunities to partner with our customers and deliver world-class infrastructure solution. Lastly, concerning fourth quarter results, we had an exceptionally strong cash generation quarter with free cash flow of $581 million. This cash generation was driven by a 10 day reduction in DSO to 81 days compared to the 91 days experienced in 3Q, 2019. DSO reductions were driven by improved billings and collections with several customers that had negatively impacted DSO levels and prior quarters, as well as the collection of approximately $100 million of pipeline project retain its balances previously expected to be collected in 2020. Also contributing to cash flow in the quarter was approximately $34 million from the sale of certain outstanding pre petition receivables due from PG&E, as well as the collection of the retainage from the Fort McMurray transmission project discussed on last quarter’s call. From a balance sheet perspective, at December 31, 2019, we had $1.8 billion in total liquidity. We ended the year with a debt to EBITDA ratio as calculated under our senior secured credit agreement of approximately 1.6 times which is within our target range of 1.5 to two times. I'll make specific note that we exceeded a two times leverage profile in the third quarter, which we have previously commented we were willing to do with a path to delever, which we achieved successfully in the fourth quarter. Our total backlog exceeded $15 billion for the first time in our history, with 12-month backlog nearing $8 billion. The Watay award discussed in last quarter earnings call was a significant contributor to the increase from the third quarter. But as in the case for the revenues the base business continues to be the largest driver of backlog growth. As such as we look ahead to 2020 and beyond, we see the base business propelling multiyear growth opportunities for both segments. Electric segment revenues have grown to $7.1 billion at the end of 2019 with revenue from base business activities, including our communications operations 20% higher than 2018 levels. Included in that growth, there is a ramp in California fire hardening activities, which aggressively expanded in 2019 and more than offset almost $400 million of reduced revenues from larger projects. We expect those hardening initiatives to continue in 2020, but currently anticipate the revenue contribution to normalize at level meaningfully lower than 2019 and to largely be weighted towards the back half of 2020. Offsetting this decline is the expected growth of our remaining base business, which we continue to see providing mid single to double digit growth opportunities, coupled with some degree of increased contributions from larger projects, primarily associated with previously announced projects in Canada. In the aggregate, we see Electric Power revenues between $7.6 billion and $7.8 billion, which includes revenues from our communications’ operations of around $500 million and minimal Latin America revenue. We expect base business activities to represent approximately 90% of segment revenue. As it relates to the Electric Power segment revenue seasonality, we expect revenue growth in each quarter of 2020 compared to 2019, with quarter-over-quarter growth in the second and third quarters potentially exceeding 10%. We expect first quarter revenues to be the lowest of the year due to weather impacting certain construction activities, as well as the back half waiting of California fire hardening activity. We expect a high end of our revenue range to represent greater revenue growth opportunities in the third and fourth quarters relative to 2019. We see 2020 operating margins for the Electric Power segment, including Latin America operation between 9.2% and 9.8% with Latin America contributing operating losses of $15 million to $20 million. Excluding Latin America losses, margins are expected to range between 9.5% and 10%. We expect the first quarter operating margins will be the lowest for the year, possibly between 7% and 7.5%. This 1Q margin profile is being pressured by operational losses and costs associated with exit activities in Latin America of up to $10 million. Additionally, margins in our core electric and communications operations are expected to be negatively impacted by the weather challenges and fire hardening timing that are impacting first quarter revenue levels, both of which will result in some level of cost absorption pressure. However, we expect subsequent quarters will return to our normal operating range, with margins increasing into the second and third quarters and then experiencing a slight decline in the fourth quarter. We believe communications operating income margins, which had been diluted to segment margins from prior period could be at parity with electric operations on a full year basis. Regarding our Pipeline and Industrial segment, revenues have increased from $3.9 billion at the end of 2017 to roughly $5 billion at the end of 2019, during which time revenues from larger projects have declined from $1.6 billion to $1.2 billion. For 2020, we currently expect the reduction of larger project revenues to continue declining as much as $700 million to around $500 million for the year. Although some level of incremental larger pipeline project awards are factored into our range of guidance our final net financial expectations for 2020 are not dependent upon contributions from the Atlantic Coast pipeline project. This larger project revenue reduction represents a significant headwind. However, we anticipate being able to largely offset this decline which grows from our gas distribution, including a full year of revenues from our 2019 acquisition of Hallen Construction and continued demand for industrial service. Overall, we see revenues for this segment ranging from $4.6 billion to $4.8 billion. From a seasonality perspective, we see first quarter revenues being our lowest for the year, likely a double-digit decline from the first quarter of 2019 due to the reduced levels of larger project revenues year-over-year, and normal seasonality in are more weather sensitive region. Revenue should increase sequentially into the third quarter, then seasonally decline in the fourth quarter. Revenues as compared to 2019 are expected to be lower on a quarter-over-quarter basis for the third and fourth quarters, with fourth quarter revenues potentially declining over 10% relative to 2019. The operating margin improvement in our Pipeline and Industrial segment over the last three years has been a focused area. And we're proud of what we've accomplished while continuing to invest in the growth of the base business. Larger projects historically have represented the best margin opportunities in the segment. However, as larger project revenues have declined, segment margins have improved, and we expect this trend to continue into 2020 even with the lowest level of larger project revenues we've experienced in the last seven year. We see segment margins ranging between 6.8% and 7.2% led by continued execution from our gas distribution and industrial operation. As we have discussed in years past, our first quarter traditionally has lower activity in our gas distribution business due to weather seasonality, which impacts our revenues and pressures margin. Accordingly, we expect first quarter margins in the lower single-digit, with improvement in the second and third quarters, then seasonally declining in the fourth quarter. We expect our corporate and unallocated segment to represent costs of approximately 2.8% of revenues, which includes estimated amortization and stock-based compensation expense of $71 million and $63 million, respectively. These segment operating ranges support our expectation for 2020 annual revenues of $12.2 billion to $12.6 billion and adjusted EBITDA a non GAAP measure of between $1.03 billion and $1.12 billion. This represents 14% growth at the midpoint of the range when compared to 2019 adjusted EBITDA with 2020 revenues currently estimated to grow less than 3% at the midpoint. With these operating results, we estimate our range of GAAP diluted earnings per share attributable to common stock for the year to be between $2.93 and $3.33 and anticipate non gap adjusted diluted earnings per share to be between $3.62 and $4.02, which represents the first time the company has included $4 of adjusted earnings per share in its adjusted EPS guidance. We estimate capital expenditures of approximately $300 million and free cash flow between $400 million and $600 million. Included in our free cash flow expectation, is approximately $82 million of insurance proceeds in the first quarter associated with the settlement of two outstanding claims in the Pipeline and Industrial segment. Similar to recent years, it is likely that free cash flow for 2020 will be the strongest in the fourth quarter with potential uses of cash or limited contributions in the first three quarters of the year. However, various customer movements, billings and receivables, timing and other normal dynamics can create temporary and sometimes sizable quarterly movements in networking capital. As we've discussed during prior investor event our cash flow generation move counter to our revenue growth rate. Higher revenue growth requires more working capital to support the growth. When our revenue growth moderates our working capital stabilizes that cash flow increase. However, we believe the consistent sustainable growth profile of our base business provides for repeatable levels of free cash flow generation in line with our 2020 guidance and future period. Please also refer to our outlook summary for additional information, which can be found on our IR website at quantaservices.com. Looking back in our 2019 performance, on last year's fourth quarter call we emphasized the significance of 2019 as related to our 2016 strategic plan. Most notably our expectation of continued EBITDA growth against the headwind of reduced contributions from larger projects across both segments. We expected almost 90% of our revenues to come from base business activities, the highest percentage in a decade, which is the approximate contribution ultimately delivered in our 2019 result. Our strategic plan anticipated this base business demand and over the last four years, we've taken steps to position both segments to capitalize on these dynamic reflected in both our multiyear historical and expected revenue growth, as well as solid and expanding segment margin profile. The continued strength of the base business and predictable recurring nature of its earnings profile provided us with an opportunity in 2019 to further strengthen our balance sheet with a substantial increase in liquidity, offering more flexibility to support our strategic objective. During the current strategic plan in 2016 through 2019, we have deployed approximately $1.1 billion in M&A in strategic investment, and $513 million in share repurchase. While we acquired $20 million of common stock in 2019, we have approximately $287 million of availability remaining on our current $500 million stock repurchase program. Our first capital priority remains supporting the growth of our business through working capital and capital expenditures. However, we remain committed to the deployment of remaining available capital to shareholders through our dividends and share repurchase program and opportunistic acquisition. Overall, we remain confident in the strength of our operation, our prospects with profitable growth and a repeatable and sustainable nature of our core market. We've developed a platform for Quanta to capitalize on the trends driving the spent in our end market. And we firmly believe delivering based business solutions to world class craft skilled labor, opportunistic, larger project deployment and continued balance sheet strength will be the key to delivering long-term shareholder value. This concludes our formal presentation and we’ll now open the line for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Noelle Dilts with Stifel. Please proceed with your question.
Noelle Dilts: Congrats on the quarter and the cash flow. So, first question is just a little bit of a clarification, in terms on the electric side of the business with the fire hardening headwind that you're anticipating. So, with the second half ramp that you're baking into guidance, is that contingent upon PG&E getting through the bankruptcy process and some of their fire hardening were coming back or is this work with other customers that you've picked up that you expect to accelerate?
Earl Austin: Yes Noelle, I think what you're seeing is just some seasonality in the business. And when we're talking about the electric side, we are talking seasonality in the first quarter due to the pull down of LatAm impact which Derrick talked about, as well as some of the crew moving in the West. Let me talk a little bit about it. I think what you're seeing there as we just have movement there in the first quarter, in the fourth quarter, that's not normal in the business. And if you go back and you look at what we've done in America, last year we were at double-digits in the Electric segment. Next year it will be at double digits. And for the last 10 years, we've been at double-digits on a cumulative basis. You'll see that this year, it doesn't matter what PG&E does or not. We're certainly working with them. It is creating some lumpiness, the way we move our credit it’s not normal. But, when you look at the opportunity that's there the $37 billion that I didn't see a note on I would have - kind of want to see that every now and then, but against PG&E, that they are talking about spending over the next decade it's significant. And I think we need to be there, we’re around the edges there. And it's certainly a great opportunity as we go forward over the coming years of our base business. So that's just a little bit of what's going on. So, to answer your question, no it doesn't matter.
Noelle Dilts: And then shifting over, into pipeline and industrial, the margins there have - I think everyone's been pleased to see the margins really start to come through there on the base business. One of the things you guys have talked about a lot in the past is that, as you kind of expanded the business regionally, it resulted in some costs that you then had to kind of see the volume come through to leverage those costs? Where would you say you are in that process? Is there still some opportunity there to get some additional leverage on these regional operations? And if there's any way you can kind of quantify, you know how much more opportunity you think there maybe, that would be helpful?
Derrick Jensen: No, I think when you look at those businesses, we've done a really nice job of creating margin enhancement year-over-year, even our guidance this year, you see somewhat of a 7 handle on it. I really like where we're at, I like it was a strategy, it was an approach - to be more sustainable and deliver those results over time. Our Northeast expansion certainly enhances that it gives us a nice platform there on that piece of work. And we needed that to really kind of go with the rest of the margins. As far as what the opportunity is, we've talked about getting them in the upper single-digits. I think that's still the goal of the company and actually to operate the whole business in double-digit adjusted EBITDA. So, when we think about it, certainly there's some improvement there. We're working on it. As you get scaling in those offices and we get synergies out of the northeast and the things that we're doing there. We really like the business and we do think it's sustainable, which is what was important to us, is that to make sure that that is repeatable and sustainable going forward. So, we like where we're at, opportunities are good and we continue to see multiple utility customers with large CapEx spends going out 30 years.
Operator: Our next question comes from Andy Kaplowitz with Citi. Please proceed with your question.
Andrew Kaplowitz: Just trying to think about your 2020 pipeline infrastructure business, you mentioned $700 million headwind from large pipe. I think you said that you expect the large pipe to the lowest in seven years. We obviously understand that ACP could upside. But can you give us color on whether you think the $500 million could represent a trough or maybe a conservative estimate at this point. Or if ACP doesn't move forward, we should still be worried that $500 million could go down in subsequent years?
Derrick Jensen: Yes, I think when we look at the $500 million plus and 5% of the business, and we talked about it quite a bit. But I would say, from my standpoint we're good with the numbers, we're good with the midpoint. There is opportunities for us to grow our larger diameter pipe, brighter than $500 million they're out there. Certainly, we see that as a minimum this year, we believe we can book that. I would tell you, it doesn't. In our mind, if they're not doing that they can do sub large parameter projects on low pressure distribution. Still, that equipment can be utilized, I mean other places, but I'm opportunistic on that. But what I will say is the business itself, if you look at it and look at what we're doing, we're really executing against the backdrop of utility spend. And if you go to Slide 9 of the slides provided you can see some of our customers and what the impact of that is both gas and electric. That's the backdrop of this company and 90% of the backlog is that and it continues and we continue to see it grow. We talked about it growing 8%. We don't need large diameter pipe to grow this business. It just layers on top with the other opportunities that are out there such as Keystone, Puerto Rico, other things like that, that would layer on top of your 90% base business.
Andrew Kaplowitz: Then Derrick - strong cash flow in the quarter $600 million. Well, we know you always have a strong Q4, but you did beat your own estimate. I know you got 400 million of cadence but did you do anything differently in terms of the focus on collections. And does it give you more confidence the strong Q4 that you will deliver consistently in that 40% to 50% of adjusted EBITDA range moving forward?
Derrick Jensen: Nothing unique to the way that we are operating the business. I mean, we did have some delays in DSOs there in the second and third quarter. We did say that we would have every expectation, we would see improvements of that into the fourth, maybe drifting a little bit. But we're able to achieve almost all of that improvement here in the fourth. Reality though is, is that you can see that it's really bringing us back into kind of just normal levels. I mean, we ran into about and 80-day DSO that's really effectively what we've averaged over quite some period of time. So I'd tell you that it's really returning effectively to just normal operation. On a go forward basis, I mean, we will still always try to strive to have the DSOs be lower than that and we achieved that last fourth quarter as an example. But as we look at 2020 right now, I think that we will probably still be having an overall expectation of call it an 80 day range, maybe a little higher, maybe a little lower if we're still yet able to bring some level of improvement into it. One other thing though that unique to the fourth quarter, little bit of - the strength of it came, we had some accelerated retainage collections as well, not just from the Fort McMurray, which we called out last time but we have some pipeline balances that we thought might drift into the fourth quarter of 2020, and we're able to get to the execution and work with the customer to get some of those balances collected here in the fourth quarter. So that was a little bit of an uptick there. But overall, just good solid focus on continuing to try to bring the cash in the door.
Operator: Our next question comes from Sean Eastman with KeyBanc Capital Markets. Please proceed with your question.
Sean Eastman: Hi team, congrats on a strong finish there. And thanks for taking my question. The first one from me, just on the comment around the opportunity to achieve record backlog again in 2020, I'm just curious whether that contemplate some mega projects coming in, maybe on the transmission side or whether that can be achieved just through base business bookings. And maybe just some color on, the real big pockets of strength within those base business bucket?
Earl Austin: Yes, I think if you look at it, I mean, we gave you some representation of what's going on all of our utility customers are increasing their CapEx year-over-year to facilitate the modernization of the systems or the hardening of the systems. If you're interconnecting renewables and those type of things as well, we just see broad base the gas, same thing on the gas side of the business, continued spending to modernize that. It's just an ongoing thing that we're in the middle of, they have some attrition going on within our utility customers. It's allowing us to grow our business there. We are seeing an uptick in large projects on the electric side. The gas side remains, decent - our Canadian operations it's certainly coming back. We're seeing things there, but I don't think you need some mega project to grow from our backlog those ones that are announced in Canada are 24 or 36 months, the burn on them is not great. So in my mind, we can increase it through our MSA renewals, new customers, new service lines that we're doing organically. And just for us, the opportunities are out there that we see. We believe we can grow backlog in 2020 and beyond.
Sean Eastman: Very helpful. And one for you, Derrick, if we look at the free cash flow guidance for 2020, pretty good number there, just wondering if there's any sort of discrete items to hit that or whether things like, potentially getting some recoveries around those Peru bonds, et cetera. Could be you know, upside to the outlook you've laid out there?
Derrick Jensen: Yes, so in my prepared remarks, I commented that the first quarter does have a degree of insurance proceeds coming into it. Beyond that, though there's nothing unique and useful we as it stands we have not forecasted anything associated with the recollection of outflows for Peru and the bond. So the rest of it is just the dynamic - the way the model works relative to the working capital against those revenue growth.
Operator: Our next question comes from Steven Fisher with UBS. Please proceed with your question.
Steven Fisher: Just starting off on LatAm and the exit, just could you give us some more thinking around the timing assumption there? And could that loss potentially be less depending on when you wrap it all up? And what's the risk that it's more and kind of what are the options on how you approach that exit?
Earl Austin: I think we looked at our portfolio going into next year. We felt like it was prudent to ring-fence, to talk about what the guide was and pull it out of at least give you some idea of what we're talking about there. In the first quarter, we're closing offices and doing some things like that, just have lease expenses on things of that nature. There is opportunity to call some of that back if we sell some assets, countries, things like that the business is in those. So there is some opportunities to call that back, I don't think from my standpoint what we see today that's it, you see it, that's kind of our look at it. We believe we can kind of close that down within the 12 months. We do feel confident in our position there on the arbitration. It will take 24 months or longer to get that money, but we do believe we will get that. So we were cognizant of that as we go in and start early and closing down LatAm, but it was certainly something that we needed to talk to the investment community about and ring-fencing and go on with the rest of our business. So that's been done. We feel like we're in a good spot there and we'll continue to move forward on the rest of the business.
Derrick Jensen: One additional bit of clarification is that, there are no additional costs associated with unique Peru project though. These are all just associated with the LatAm overall.
Earl Austin: And the primary piece of that will be in the first quarter.
Steven Fisher: And then just on the revenue guidance, clearly you had very strong backlog growth more than 20% year-over-year. It seems like the guidance should maybe a little bit better than the 2% to 3% midpoint growth. I know you commented in the prepared remarks about wanting to be prudent, which makes sense. Is there anything - that specific that you're concerned about incorporating into the outlook that you tried to kind of put a little more conservative view on?
Earl Austin: I think if you go year-over-year, the last four years, we've tried to be prudent on our guidance and we will continue to do so. I think, we took a good look at what we had and opportunities are out there, give you a top side of it. We’ve normally beat the midpoint and we’ll continue to work hard at doing that this year. The opportunity for us on the larger diameter work or the bigger work is certainly there. We're going to take a risk profile that we always have, and make sure that the risk - of those projects don't degrade the rest of the company. So we're doing well underneath it, we can grow it. The opportunity for us to grow is certainly they're past the midpoint. But I feel like as we start the year, we have some contingencies built in on our Canadian projects and things of that nature, like we always would. So that will press margins a bit on the Canadian side, but on a go forward basis. It really looks good for the next two or three years on the Canadian side, because we have that - those things there and I believe will execute through some of those contingencies over the next 24 months. But as we start it, we’ll be prudent about it. We’re also be prudent about the guide on big pipe. Look, when we look at it, we take a risk adjusted approach to it. If we win it, we win it, if we don't, we don't. We're happy either way. So but - we're after all those opportunities as we move forward.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook: Nice cash flow and guide with a four on it Derrick, with a four handle. I guess two questions one, understanding your guidance is conservative and we're not assuming ACP is in there. Given the news, over the past week or so, can you just provide an update on how you think about the probability with the project moving forward? And then can you remind us sort of what type of ramp, what I mean that could potentially have an impact on 2020 assuming that does go forward? And then just I guess we'll start there, and then I'll ask my follow-up question?
Earl Austin: I don't think even if the ACP got approved in June, and I don't think it has meaningful contribution this year. I think it's primarily - in 2021 in my mind. Like I said, the opportunities are out there for other work, other - kinds of work with our utility customers. So I'm confident that will stay busy. And you can see the margin improvement on the guide there's opportunities past that like we said - our goal is to get an upper single-digits, and we're doing everything necessary to get scale all these offices and get us there over time.
Jamie Cook: And then just on the communications business, obviously you had nice growth there this year. Can you just talk about whether that business is requiring any sort of investment on your part to get ready for the ramp and just your broader view on how 5G ramps? Thank you.
Derrick Jensen: Hi Jamie, I think when we look to the communication business, we see the opportunity there it certainly there. We took a prudent approach to getting in it. We didn't go into the major cities. We felt like there was a lot of risk there. So we stayed in tier two cities. As that burns off, and the rest of the backlog starts to move in. This year I feel certainly that we can operate parity we're doing that in the field today. The opportunity is greater as we prove out our abilities to take on complex projects with these customers We’re used to APC, we’re used to permitting risk or used to those kind of risks within the cities and our offices are located all across North America. So, it allows us a real backdrop or the customers on the communication side to rely on us for the big programmatic spend. That's coming up on both small cells and fiber. So we're working with them, we like our opportunity and when we do think we can get into the $1 billion range like we talked about, and you know, in the medium to short-term here.
Operator: Our next question comes from Michael Dudas with Vertical Research Partner. Please proceed with your question.
Michael Dudas: Duke, when you're talking about you mentioned about the hardening efforts on California and the ramp up that we're seeing in 2020. Maybe you could also elaborate on some of the other bigger customers or the mindsets of the utilities or the public utility Commission's on pushing those types of projects and maybe seeing a little more acceleration into 2020 into 2021 and beyond given there's a such visibility with that regarding in 2019. Is that still momentum there and are you positioned to benefit from that maybe better or better than you would anticipate?
Earl Austin: I think the company is in a great position as far as the hardening efforts to the West. We certainly have the resources and the capability is there its complex environment in California even in the West. So when we look at it, we're right in the middle of it, we're talking on a daily basis, the opportunities multi or even decades of work there. So, we'll approach it that way. It certainly starts a little slow and then ramp. So, we will get to some normalization I believe by the end of the year there. If it's not there, we still see the South East quite a bit of work the Northeast, it doesn't really matter where you're at. The modernization that's necessary for electric vehicles, just in general across our utility base is necessary. We talked about the 8% growth their CapEx over time and that's certainly across the board. And they also have attrition going on as well, which we're helping out there and collaborating with our customers. We like our end markets. We're in a right position. We've talked about it. We've shown the growth over the past four years against that backdrop call it $130 billion, $160 billion worth of CapEx/OpEx, year-over-year that's growing at 8%. We really like that as a base and our backdrop against it.
Michael Dudas: Well said Duke and my follow up is, as you're looking at your allocation plans going forward, you mentioned I guess $400 million in combined acquisitions I guess Hallen was a big part of that. How do you see 2020 as it moves forward? Are there areas, regions, skill sets, end markets that you're targeting towards and we'd be surprised to see something that would be lower than that type of number you put up - for that in 2019?
Earl Austin: I think when we look at acquisitions we don't look at them as imminent. We do you see some reports about building earnings and in the future on those acquisitions. We do not do that. We’re opportunistic. We have an approach. We have from our mind, a way that we go about it. The acquisitions we can't really predict when they come in. So we don't know what this year will bring. There's certainly opportunity for us to acquire out there to match of strategic needs. But I don't see - we will look at capital as I said before against our stock price to make sure that whatever we do is accretive against our stock. So that being said and our working capital needs going forward so the allocations haven't changed. There's certainly opportunities, but none of them are eminent.
Operator: Our next question comes from Blake Hirschman with Stephens. Please proceed with your question.
Blake Hirschman: Just a quick one from me, on ACP, can you give us any rough idea as to what percentage of the overall job has been done to-date?
Earl Austin: Yes, we really don't talk about - on job by job basis and especially one that doesn't really drive anything this year. In my mind, I don't have a comment on it. We don't keep a track of it like that. We have a certainly a significant amount left to go.
Blake Hirschman: All right, that works. And then on the buyback, there's a good amount left under the authorization. Is there any reason to think you wouldn't be looking pretty hard at buying back your stock here?
Earl Austin: Certainly, we don't think the valuation is what it should be. In our mind, we continue to talk about what we've done as a company, what we believe we can do going forward, the macro markets, what our utility customers are doing, but 90% of our business is doing. So as we look at it, if we see the opportunities, you can look at our history, we've leaned into it. We have no problem leaning into it on a go forward basis, and we'll do so if necessary.
Operator: Our next question comes from Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Yes, I just had one. I think most of my questions have been asked, but little bit more bigger picture. You've talked in the past about the number of utilities that continue to perform services in-house. And when you look at through your expanding presence in the base business, is there a way for us to think about how much of this growth is sort of going towards this outsourcing model versus market share over others, that maybe been established in these market?
Earl Austin: I think when you look at it, you continue to see outsourcing increase over time. Certainly every utility has a different model. And they'll always have some work for so. When we look at it, we just work with them and try to look at attrition, look at their attrition help them with their own crews as well as us. And so, when we think about it, it's a collaborative effort with the industry to make sure that we have enough resources, craft skilled labor resources on a go forward basis. Obviously, the attrition trend - the outsource trend has certainly been there and will remain, but that being said, they'll still do some of that work in-house over time. It is a big piece of it.
Operator: Our next question comes from Adam Thalhimer with Thompson David. Please proceed with your question.
Adam Thalhimer: Can you talked about the large transmission bidding environment a little bit with the outlook is for awards this year?
Earl Austin: I think, it's a robust even the underlying kind of not even a large where from our standpoint, there's quite a bit of work out there. We're seeing it. Its broad based across the board, the bigger transmission like I said, it's an uptick for us we're seeing bigger jobs moving around. So that's good thing good sign. We’re layered on top of the base business, but I expect us to be fully utilized.
Adam Thalhimer: Would you say that transmission biddings are better today than it was a year ago?
Earl Austin: I think, we talked about the bigger projects being more robust right now than it has been. So the opportunity is there certainly bigger than they were a year ago.
Adam Thalhimer: And then just curious the lack of pipeline awards, is that more you guys being disciplined on price or are projects just not out there?
Earl Austin: I think the projects are there, the opportunities are there. We will just look at it from a risk profile. We win them, we win them if we don't, we don’t it's not necessary for us to win large projects to make our number. So, we certainly price the risk. We see a difference sometimes and others do. I don't know from my standpoint, we’ll announce them when we win them and we have the opportunity to win a bunch.
Operator: Our next question comes from Chad Dillard with Deutsche Bank. Please proceed with your question.
Chad Dillard: So I think you guys talked about your large project pipeline being around like $6 billion, either a quarter or two ago. I was hoping you could give an update, talk about how that splits between transmission versus pipeline. And I mean, I realized that these projects can be lumpy. But, do you have a good sense for whether we should be expecting some of these to hit in 2020?
Earl Austin: I think when you look at Quanta, and you think about us and from a programmatic standpoint, and what we're doing on large projects, it's much greater than $6 billion. That number continues to grow from programmatic spins to just one off projects. They're out there. We talked about each time, we talked about Puerto Rico, we talked about big fire Harding programs 5G how we fit there on those programmatic spends. Those are things that are big in nature and the company's working on strategically, so when we talk about it, it is not a one-off projects sometimes it may be $5 billion of programmatic spend over 10 years. So it's not just one project. And I think that's why we're confident in our backlog, our backlog approach, and the things that we're doing as a company underlying on the base business, is just driving all that, and we continue to talk about the big ones when we win them, they're out there.
Chad Dillard: And then so for the Hallen business, what was the organic growth in the fourth quarter and perhaps could you just talk about how you’re seeing that business on a pro forma basis, as well into 2020? And then just secondly, just to clarify on the cash flow, did I hear correctly, basic cash flows are the negative for the first three quarters and then upswing positively in the fourth quarter?
Earl Austin: I’d let Derrick take the cash flow first.
Derrick Jensen: Yes, so no, I think that just the typical kind of quarter progression that we do see that it could be flat and/or some negative dynamics in the first, second, and third quarter with positive there in the fourth. Doesn't mean that we will be negative. It's just kind of calling out the same type dynamics we have a normal seasonality as per as the growth of the business, there's a tendency to draw capital.
Earl Austin: As far as how it goes, we're really pleased with the company and where it sits. I think from our standpoint, it's doing better than expected or at least on track. As we discussed in the past, the management team is phenomenal, we're extremely pleased with that and what we can do there from the synergistic standpoint, and future years. So we like it. We like the platform. We were extremely happy with that. And we should see that both through there on the P&I side in the future years.
Operator: Our next question comes from Justin Hauke with Robert W. Baird. Please proceed with your question.
Justin Hauke: I've got two here. So, first one, just I wanted to make sure that I had all the pieces together, was clarified in terms of the retainage balances in the AR. You guys made good progress. You got the Fort Mc and it sounds like you pulled forward a bit from 1Q. Is there anything still kind of unusual in the retainage balance that would be notable to call out and then also, what exactly is the outstanding receivables still from PG&E and Peru?
Earl Austin: Yes, so, no, I mean, retainage balances move periodically with us in a large project, and as you move forward the timeline those things are a lot of times get wrapped up into when you get to the final completions or each individual final billing. As it stands here, I mean, those things are normal for us. We had actually kind of a coincidental timing that we had both larger portions of retains, like go here in fourth quarter, but on a go forward basis, there is anything unusual or standing out and buried in the retainers balances of the normal work. Then on PG&E, we have about $5 million of the prepetition still outstanding and those things were actually not receivables. There's a component of unbilled. We still as every month goes by, we continue to whittle down on that balance with so much other activity going on. You know, honestly, some of that stuff just takes a little bit of time. I mean, in the grand scheme of things, but there's just a small little unbilled balances we’re continuing to pursue resolution on. And then relative to Peru, no new activity that's the comments that Duke had laid out, that as it stands here, we continue to look at that as going on it, we'll continue to be pursuing that I think for 2020. We have nothing in our current expectations towards collections of that, although we still think we have a strong case and we making strong progress through the year towards the resolution.
Operator: We have reached the end of our question-and-answer session. At this time, I would like to turn the call back to management for closing comments.
Earl Austin: Yes, I would like to thank everyone in the field, ladies and gentleman they are working hard for us every day and our shareholders they certainly world class craft skilled labor and management teams out there. So we want to thank them for what they’ve done in 2019 as we go into 2020. I like to thank you for participating in the fourth quarter conference call. We appreciate your questions and your ongoing interest in Quanta Services. Thank you, this concludes our call.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.